Operator: Good day, and welcome to the Misonix Fourth Quarter Fiscal Year 2020 Earnings Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Norberto Aja, Investor Relations. Please go ahead.
Norberto Aja: Thank you, operator, and good afternoon, everyone. Thank you for joining the Misonix fiscal 2020 fourth quarter conference call. We’ll get started in just a minute with management’s comments. But before doing so, let me take a minute to read the Safe Harbor language. Today’s call and webcast contain forward-looking statements within the meaning of the Safe Harbor provision of the U.S. Private Securities Litigation Reform Act of 1995 and can be identified by words such as anticipate, believe, estimate, expect, future, likely, may, should, will, and other similar references to future periods. Examples of forward-looking statements include statements regarding guidance relating to our financial results. Forward-looking statements are neither historical facts nor assurance of future performance. Because forward-looking statements relate to the future, they are subject to inherent uncertainties, risks and changes in circumstances. Therefore, you should not rely on any of these forward-looking statements. And the company undertakes no obligation to publicly update any forward-looking statements that may be made from time to time, whether as a result of new information, future developments, or otherwise. Today’s call and webcast will include non-GAAP financial measures within the meaning of the SEC Regulation G. When required, a reconciliation of all non-GAAP financial measures to the most directly comparable financial measures calculated and presented in accordance with GAAP can be found in today’s press release as well as in the company’s Web site. With that, I’d now like to turn the call over to Mr. Stavros Vizirgianakis, President and CEO of Misonix. Please go ahead.
Stavros Vizirgianakis: Thank you, Norberto, and good afternoon, everyone. Thank you for joining us on the call today to review our fiscal 2020 fourth quarter and full year results. Joining me on the call is Joe Dwyer, our Chief Financial Officer. Before commenting on our recent performance, I wanted to take this opportunity to thank our employees for their resilient dedication and exceptional work as they have gone up and beyond to ensure that Misonix continues to operate effectively and providing the highest level of customer service and support to healthcare practitioners and patients under the most challenging of circumstances since March of this year. Taking a quick look at our financial results on a pro forma basis accounting for the Solsys acquisition, total revenue for fiscal fourth quarter 2020 decreased 21.6% while full fiscal 2020 pro forma revenue increased 8.6%. Both led to a net loss for the fourth quarter 2020 of 8.5 million or a loss of $0.50 per diluted share and a net loss of 17.4 million for fiscal 2020 or a loss of $1.19 per diluted share. Despite the significant headwinds during the second half of our fiscal year and many difficult decisions we’ve had to make, we are pleased with our ability to react quickly and effectively and with the results we had as we work our way through these challenging times. Taking a look at our business in added detail, let me begin with the wound division. Very early on in the pandemic, our wound division sales were significantly impacted as most wound procedures were viewed as elective. As such, few hospitals were admitting patients for wound care while most outpatient facilities where a great number of wound cases were treated were closed. However, doctors and providers quickly realized that many of these wounds, especially chronic wounds, were becoming more serious on needing patients to be treated in the operating room and in some cases even having to undergo amputations. This led to many hospitals reversing their positions as well as an increasing number of physicians treating patients in their office. As such, we had a significant rebound in our wound division during the fiscal fourth quarter as reflected in revenues recovering to approximately 90% of prior year. We have experienced some COVID-19 related disruption in case volumes in specific markets such as Florida and Texas during July and August which were less impacted during the early stage of COVID-19. We believe that we will continue to see pockets of disruption as the pandemic moves around for the next six months, but remain confident that the long-term opportunities we have to further grow our business continued to be there. We have used these past few months as constructively as possible, engaging with physicians, employees, hospitals and nurses through virtual technology and we’re in the process of launching two new products. The first is Therion, which is an amniotic membrane allograft manufactured by our partners at CryoLife. We will also soon be bringing to market the CTX Pro [ph], the first new probe under the Nexus platform. CTX will provide surgeons with both a wider surface area to debride as well as faster overall debridement that we expect will help create an even faster adoption of Nexus. It is important to note that CTX is only compatible with the Nexus platform and not our legacy consoles. We’re also close to announcing a distribution deal with a significant partner from abroad in the xenograft arena, so there are a lot of good things happening in our wound business. As it relates to our surgical division, we experienced a decline of almost 52% in international sales for the quarter. Almost every market was impacted. And although we saw some improvement in July, we believe that international sales will take a bit longer to recover and we will continue to monitor that very closely. Domestic surgical sales declined dramatically in April after an exceptional first start to 2020 on the back of the Nexus commercial launch. Although domestic surgical sales declined 21% for the quarter, the division returned to growth by the end of June as surgical procedures continued their rebound. Post our fiscal Q4, we’ve seen good momentum on the surgical business, improving at an even faster rate than the wound business. This is likely the result of the increased profitability for healthcare providers inherent in many of the spinal and neuro procedures we address within our surgical division, as well as the continued strong adoption of Nexus. We had set a goal of placing 150 Nexus units and we’re pleased to report that we exceeded that number. Moving to the opportunities in our surgical division, we have a very strong pipeline for Nexus and we’ll focus our efforts on leveraging these opportunities to significantly grow and expand the Nexus footprint, providing the foundation for future handpiece and disposable probe sales as well as cross-selling opportunities and new product placements. The first of these new products in the surgical division will launch later in calendar 2020 and will be the microdiskectomy solution to address microdecompression or microdiskectomy procedures related to herniated discs. In addition, we see many of the lesser complex spinal procedures moving to the ambulatory surgical centers, providing an opportunity for us to aggressively target ASCs as the post COVID-19 environment will likely incentivize physicians to move these procedures out of the hospitals. We have continued our dialogue with potential partners and acquisition targets throughout the pandemic to evaluate adjacent and complementary technologies to bring on board as we have done on the wound front. We hope to be able to share some of these updates with you in the near future. From a supply chain and inventory perspective, we have worked diligently to expand and derisk our supply chain, bringing in additional partners and suppliers that we are confident will help mitigate any future challenges to the supply chain and making sure we have dual vendors for each product. In addition, we have strategically build up inventory levels of the Nexus console as well as the handpieces and disposables to best meet the growing demand we expect in future quarters. Moving onto our sales resources, we have used these past few months to further the training of our direct sales team via online tutorials, surgeon seminars and other initiatives that provide valuable information and feedback to both physicians and our sales team across surgical and wound. Looking ahead, we expect to once again expand sales forces as we restart the hiring process in the coming months. On the clinical front, we are happy to announce that we have resumed enrollment in our randomized controlled trial for diabetic foot ulcers and hope to have the significant and valuable study completed by the end of the calendar year. As it relates to our financial position, which Joe will offer added detail, I want to highlight that we have taken a number of initiatives and put forth stringent controls to ensure we maintain a strong cash position in order to manage through the unprecedented environment, and that we’re in a healthy position financially. With $38 million in cash, we have the means to adequately support and invest in the business. Be it across our initiatives to gain added operation and efficiency, improve inventory and procurement management, further our sales force training and development while continuing to invest in critically important research and new product development. Our efforts during these past few months of unprecedented volatility and disruption have been marginally successful and have not only allowed us to overcome these highly uncertain times, but perhaps more importantly has placed Misonix in a position of added strength and improved our ability to leverage the opportunities ahead of us in the near, mid and long term. In closing, we remain confident that the value propositions our consignment model brings to the healthcare facilities and practitioners has only become more attractive and relevant given the constrained budgets that many healthcare providers are experiencing, in particular regarding capital equipment expenditures and access to hospital facilities. By consigning Nexus and offering world-class and industry-leading solutions for wound, spine and neuro, we bring a very compelling offering to the table and that is likely to be a changed business and operating environment post COVID-19. With that, I’d like to now turn the call over to our CFO, Joe Dwyer. Joe?
Joseph Dwyer: Thanks, Stavros, and good afternoon, everyone. Taking a look at our financial results, fourth quarter revenue increased 40.6% to $13.7 million compared to $9.8 million in the fourth quarter of fiscal 2019. On a pro forma basis, assuming we had acquired Solsys for the full fourth quarter of 2019, total revenue for the fourth quarter of 2020 decreased 21.6%, driven by a pro forma domestic revenue decline of 13.6% and an international revenue decline of 52.6%. For the full year fiscal 2020, revenue increased by 60.8% to $62.5 million compared with $38.8 million in fiscal 2019. On a pro forma basis, revenue for fiscal 2020 increased 8.6%, which includes pro forma domestic revenue growth of 15.3% offset by an international revenue decline of 12.2%. I’m pleased to report that top line growth was achieved while maintaining healthy margins with the gross margin percentage on sales for the fourth quarter coming in at 68.8% compared with 69.6% in the fourth quarter of last year. For the full year, gross margin was 70.0% compared with 70.2% in fiscal 2019. Operating expenses increased $7.8 million during the fourth quarter of 2020 as compared with the fourth quarter of 2019 and increased by $28.4 million for the full year, primarily reflecting the acquisition of Solsys. In the fourth quarter, sales and marketing expenses were $11.6 million compared with $4.4 million in the prior year period, primarily reflecting the acquisition of Solsys in addition to a $2.2 million bad debt charge we took during the quarter to reserve for exposure of our Chinese accounts receivable. On a sequential basis without the bad debt reserve, we were able to lower sales and marketing expenses by over $2.2 million or 19% reflecting the various cost-cutting initiatives implemented during the past few months. G&A costs were down on a quarterly sequential basis by about $300,000 or 70% as were R&D expenses which fell by $629,000 or 34% compared with our third quarter. On a sequential basis before the bad debt reserve, I’m also pleased with our ability to realign our overhead structure resulting in operating costs during the fourth quarter decreasing by $3.1 million or 17.6% from the third quarter of fiscal 2020, reflecting the various cost savings initiatives we implemented, including reductions in salary and headcount, T&E, marketing activities, discretionary spending along with a number of other overhead reductions. This led to a net loss of $8.5 million or $0.50 per share compared with a net loss of $2.3 million or $0.25 per share on the prior year period. We reported a Q4 adjusted EBITDA loss of $3.4 million compared with an adjusted EBITDA gain of approximately $228,000 in the prior year period and an adjusted EBITDA loss of $3.8 million in the prior quarter. We’re pleased that we’re able to improve adjusted EBITDA in a difficult revenue quarter. Moving on to cash flow and the balance sheet, we had $38 million in cash at June 30, largely as a result of gross proceeds of $34.6 million related to the equity offering we completed at the end of January 2020. We ended Q4 with approximately $44 million in debt and we are in compliance with all of our debt covenants. Working capital as of June 30 was $47.7 million compared with $55.2 million at March 31, 2020. Cash used in operations for the fourth quarter was $5.4 million compared with $7.9 million we used in the third quarter and $8 million we used in the second quarter of fiscal 2020. In the fourth quarter, cash used in operations consisted of $4.5 million for the net loss, less non-cash items and $900,000 for working capital. The sequential quarterly increase in inventory of $1.1 million was strategically made to increase inventory levels so that we are ready for acceleration in demand and procedural volumes anticipated to take place as the pandemic subsides. Regarding guidance, given the continued uncertainty and volatility in both markets we operate and across the economy at large, we feel prudent not to provide specific guidance at this time. In closing, we’ve taken meaningful steps to maintain our financial flexibility while continuing to support the growth of the business and positioning Misonix to operate more efficiently going forward, regardless of the operating environment. Despite the ongoing uncertainties, we believe that we are extremely well positioned to capture market share and despite the ongoing uncertainties remain excited about the future. With that, I’d like to turn the call over to the operator for questions.
Operator: Thank you. [Operator Instructions]. And we’ll take our first question today from Kyle Rose with Canaccord.
Kyle Rose: Great. I’m hoping you can hear me all right. It sounds like you’ve got a tough connection here. I just wanted to follow up a little bit on Nexus. It sounds like you’ve exceeded the 150 units as far as the first year. Maybe help us understand where those are really getting placed? Is it competitive accounts? Is it going deeper into existing, in BoneScalpel, SonaStar accounts? Are you seeing them more from a neuro and ortho or wound care side? Just help us characterize where that business is now and how we should think about that over the course of the next 12 months. Then I have one follow up.
Stavros Vizirgianakis: Sure, Kyle. Hi. In terms of Nexus, we did exceed the 150 units. That was really a combination of upgrade accounts and new accounts, competitor accounts. If we had to categorize it, the biggest gains obviously came on the BoneScalpel side but roughly 15% of the placements included the sale of neuro handpieces. So we basically achieved our goal to get a 15% penetration on the Nexus side on neuro during the first year. Our pipeline remains very robust going forward. So for the new year it’s an excess of 150 units as we stand right now. We’re not going to give specific guidance on it, but it’s even stronger than it was in the prior year. And I will say that we’re expecting more momentum on the neuro side of things to continue as well as we rollout more sites.
Kyle Rose: Great. And then the other question is, I understand that certainly in the hesitancy to provide guidance, particularly from a long-term perspective. Maybe just help investors understand – we’re 10 weeks or 8 weeks into the quarter, help us understand how the trends looked over the course of July and in August? And then you also talked a bit about your distribution agreements and some business development activity both on the wound and on the orthopedic side or the surgical side. How should we think about potential contributions of any types of agreements, particularly over the course of the next 12 months?
Stavros Vizirgianakis: Yes. I think if we have to start on the surgical side, we are hoping to announce a distribution agreement soon and that’s going to be on a complementary product on the neuro side of things. Obviously, it’s a difficult environment to launch new product but we’re going to take this opportunity to get the sales force trained up, just fully vested in the sale process in the coming months and then be in a position in the new calendar year to provide guidance from a revenue perspective. But I think it could add single digits to the sales side in terms of the neuro add. On the wound side, it’s an interesting one. It’s in the xenograft space, again, will probably be launched formally in the beginning of the calendar year. We’ll probably use the last quarter of this year to vest the sales process in the market. I think the focus there will be more squarely on the OR. That is the market that we are going after with the xeno product. But we should have more details and be able to share in the coming weeks, so it’s pretty imminent.
Kyle Rose: Great. Thank you for taking the questions.
Stavros Vizirgianakis: Thank you, Kyle.
Operator: Next, we’ll hear from Ryan Zimmerman with BTIG.
Ryan Zimmerman: Hi, guys. Can you hear me okay?
Stavros Vizirgianakis: Hi, Ryan. Yes.
Ryan Zimmerman: Great. Thank you. So a couple of questions from me. So this one, the new handpiece Stavros that you talked about it, it’s a little choppy but I think it’s called the CTX Pro but correct me if I wrong there. But one, when do you think about bringing that to market? Two, kind of what impact can that have? What’s the pace of launch of that? So that’s my first question. And then I have a couple of follow ups.
Stavros Vizirgianakis: Sure. So for the CTX Pro, we’re in the process of launching literally right now. Obviously this is going into the Nexus account. So from a revenue perspective, it’s not going to be significant straight out of the gate. But we think that this again increases our presence in the OR and as we start more aggressively going after those bigger wounds, we see that product is having a lot of utility. The sales force is also on the wound side fully integrated now and selling wound debridement. Everybody has been cross trained and has their expertise to sort of go into those cases and confidently pull out the product and get the physicians to use them. So we think that Nexus is just the logical next step on upgrade from a product perspective. We’ve seen a lot of positivity coming back from surgeons just in terms of speed of use and the fact that it can be a bigger area. So we think of that as a largely untapped market on the debridement. It’s difficult to quantify given all the disruption and the stop-start. As I say, we found wound a little bit choppy. It hasn’t been as steady as the spine and the neuro business where we’ve seen the most sequential improvement over time. So with wound, it’s a little bit disrupted but nonetheless big interest from the physicians on the product.
Ryan Zimmerman: That’s helpful. Joe, you talked a little bit about some of the things you’ve cut back on. I’d love to understand your expectation for maybe reinvesting back in the business as we recover, what you may have cut back on and what that does or what doesn’t do as it relates to your trials on TheraSkin, which I think Stavros mentioned, expect to resume enrollment here. But I’d love to understand from the expense side and then also the impact or the timing around TheraSkin trials? Thank you.
Joseph Dwyer: Sure. I think on expenses, we’ve reduced across the board with the idea that we would take this on a quarter-by-quarter basis. And we have our own thoughts on where we expect revenue to be if we find that we can exceed on the top line, we’ll start to invest back in, probably start with sales headcount, I would think, and invest in the sales and marketing engine. We have kept I guess a decent amount of money in the budget in the R&D side for these DFU studies that we have going on and we’ve got a number of other engineering projects on the surgical side that we have in development. So we still have a fairly robust budget there. But on things like across the board on T&E and tradeshows and things of that nature that a lot of that’s not happening anyway, but we’re going to keep that lower. And if it does start to come back, then we’ll reconsider.
Ryan Zimmerman: Got it.
Joseph Dwyer: And then you asked about – what was the other question?
Stavros Vizirgianakis: Yes. On the TheraSkin side, Ryan, to reiterate what Joe is saying, the 100-patient DFU study we think is pretty significant. It’s obviously a big spend item. Those are trials which cost well over $2 million. We think that that is the evidence that’s really needed to get more private pay funders to reimburse for all the TheraSkin products. So we’re hoping that by the end of the year we complete that study. Enrollment just passed the 50% mark as we speak and gaining momentum pretty rapidly. Obviously during the pandemic, we just thought it was prudent to stop the spend and also in our hospitals and wound centers that were open, almost frowned [ph] on you if you were coming in talking about clinical trials of any sort. So I think things are normalizing there and we’re hoping – we’ve brought on some additional sites for enrollment, so we’re hoping that we can have that wrapped up by the end of this calendar year.
Ryan Zimmerman: I appreciate it.
Operator: Our next question will come from Alex Nowak with Craig-Hallum Capital Group.
Alex Nowak: Great. Good afternoon, everyone. Following Kyle’s question here just in the prepared remarks, you said wound is back to I think you said 90% of prior levels. Was that a June specific comment and where has that level gone in July, August and so far in September?
Stavros Vizirgianakis: Yes. So in June, it had – basically, we experienced significant improvement from April. I would say April marked the low point. May, we’ve seen rapid improvement. And June, in the southern states, as I’ve said, Florida, Texas we’ve got big chunks of business down there. A lot of our sales force is in the southern part of the country. So we did experience disruption in July and August. We found the business to be choppy. I think the reality is during the early part of the pandemic, those markets were less effective. So we were able to show a fast recovery. And in some instances, no disruption in the Texas market and large parts of Florida at the beginning of the pandemic. So we see that coming back towards the latter part of August. September is a little bit early to tell, but we’re hopeful that September will continue to see the recovery. But we’re also cognizant of the fact that this thing moves around, there’s different disruptions by the week. So we think it will take a couple of months. We haven’t seen the same trajectory in terms of improvement that we’ve seen on the surgical business. Wound started improving a lot quicker and then sort of plateauing out and bumping along, getting better, getting worse; whereas with surgical was really badly impacted. A slower start to the recovery, a big acceleration in June and that has continued from June all the way through July and August and that’s domestic that we’re talking about.
Alex Nowak: To your point that you made about deferment of wound procedures potentially relating to amputations, how much of the improvement that you saw in June and July on the wound side do you think was a backlog that just needed to flush through? And maybe to that point, are there volumes that you’re seeing in August and now in September, would you characterize those as more organic, meaning it’s not a backlog. These are patients that need to be treated and are getting treated right now.
Stavros Vizirgianakis: Yes, I will say that that statement is fair in terms of would. I would say that you could classify it as organic. I think the reality is that if we look at the surgical business, if you draw the direct comparison between the two, I think there was definitely backlog on the surgical to work through. And wound, I would say is more organic. It’s just that you see the disruption in different regions more so than other places.
Alex Nowak: Okay, got it. And I know we’ve been focusing so much here on the U.S. right now, but what are you seeing outside the U.S.? Obviously, Europe is on summer holiday, so hard to engage there. But are you starting to see any signs that the recovery could be underway outside the U.S. as well?
Stavros Vizirgianakis: As I’ve said, the international business is a difficult one to quantify. What we’ve seen is that capital equipment purchases have been significantly impacted. And more than 60% of our international business is around capital equipment. So that has been impacted. Where we’ve seen green shoots is certainly on the disposable side of things. So typically June is a very strong month for us on the sales perspective. June was an extremely weak month on the international side. So if we look at the international business, we’ve actually grown in the month of April. So the slowdown in international sort of came off the domestic slowdown. I think that could have been distributors literally stocking up in April not knowing what was going to happen. In May and June, I think we could have gone on holiday and the international business wouldn’t have been affected. July came out and what was encouraging is most of our distributors were placing orders, but it was for disposable items. That tells us that surgery coming back, the products are sticky and no big capital equipment sales that was apparent throughout the world that there was not much going on, on that side. There’s been a big demand for Nexus. Our international customers have obviously heard about the success that we’re having in the U.S. So there is pressure on us to step up the launch of Nexus on the international front. As you’re aware, we decided to launch Nexus domestically and do very little on the international front. But I think that is pent-up demand. So we’re hoping that by the fourth calendar quarter, we can start rolling Nexus out into the international market. But we still think we’re in for a couple more months of disruption. Depending on the countries that you’re dealing with, the disruption varies from being significant to a gradual recovery. So we’ll know more in the next couple of months on that side.
Alex Nowak: Okay, understood. And then just one more if I could. As we look at others in the wound space, it does appear that you might be taking some share during the COVID environment, although it’s kind of hard to tell. So do you think that’s true? And is there going to be a trend in wound in the post COVID environment that there’s going to be consolidation or maybe standardization of wound products and it’s just harder for reps from smaller organizations to get into these hospitals?
Stavros Vizirgianakis: Yes, difficult one, Alex, to say with complete certainty. What we can share with you of what we’ve seen in the OR which has been a pretty seismic change in terms of access. Before there were no real issues with tissue reps getting into the OR. I think in a post COVID world where people want to limit the footprint in the OR, it’s very difficult if you’re just selling tissue to get into the OR. Where we’re finding – we’re having success is by having the debridement tool that is the door opener to get our people into the OR. I think from a cost perspective, I think that there’s going to be a consolidation in terms of products available on the shelf for surgeons to use. We’ve seen hospitals literally drill down to every dollar that they’re spending right now. Generally the feeling was within product if you were in a certain range, it was pretty much open hunting season in a lot of hospital systems. But what we see post COVID as people are really scrutinizing every dollar of cost, I think the reality is hospitals have been really squeezed from their margin perspective. So if you had to ask me, I would say there is going to be some consolidation that happens down the road. And from an OR perspective, it’s certainly more challenging than ever before to get behind that red line and to get in there and be close to the physician. And that’s what I think having an additional tool, like debridement, could possibly help. That’s how we’ve been – we’ve stepped up the development process for the CTX Pro. That was our first new probe that came out because we see a lot of growth on the OR side of the wound business.
Alex Nowak: That’s great. I really appreciate the update. Thank you.
Stavros Vizirgianakis: Sure.
Operator: This concludes the Q&A portion of the call. I’ll turn it back to management for closing remarks.
Stavros Vizirgianakis: Thank you, operator, and thank you everyone for spending time with us today. We appreciate your interest and support. I’d like to once again extend a very special thank you to the Misonix team members for their contributions in making Misonix a world-class company. In closing, while the last few months have been extremely trying and the future remains clouded with uncertainty regarding the mid to long-term effects of the COVID-19 pandemic, we believe that our go-to-market product line, our sales resources, new product pipeline, operational efficiency initiative, balance sheet and liquidity and overall talent of the team we have assembled across the company will prepare us well to capitalize on the various opportunities ahead of us. We look forward to speaking to you again when we report our fiscal 2021 first quarter results. In the interim, should you have any additional questions or if you’d like to schedule a formal meeting with management, please contact Norberto Aja, our Investor Relations firm JCIR at 212-835-8500. Thank you again and goodbye.
Operator: That does conclude today’s conference. Thank you for your participation. You may now disconnect.